Operator: Good evening. My name is Nicole, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Q4 FY '16 Semtech Corporation earning release conference call. [Operator Instructions] Thank you. Sandy Harrison, you may begin your conference.
Sandy Harrison: Thank you, Nicole, and welcome to Semtech's conference call to discuss our financial results for the fourth quarter and fiscal year 2016 that ended January 31, 2016. I'm Sandy Harrison, Director of Business Finance and Investor Relations. Speakers for today's call will be Mohan Maheswaran, Semtech's President and Chief Executive Officer; and Emeka Chukwu, our Chief Financial Officer. A press release announcing our unaudited results for the quarter was issued after the market closed today, and is available on our website at www.semtech.com. Today's call will include forward-looking statements that include risks and uncertainties that could cause actual results to differ materially from the results anticipated in these statements. For a more detailed discussion of these risks and uncertainties, please review the Safe Harbor statement included in today's press release as well as the other risk factor section of our most recent periodic reports on Form 10-K filed with the Securities and Exchange Commission. As a reminder, comments made on today's call are current as of today only. Semtech undertakes no obligation to update the information in this call should facts or circumstances change. During the call, we may refer to pro forma or other financial measures that are not prepared in accordance with generally accepted accounting principles. A discussion of why the management team considers non-GAAP information useful, along with detailed reconciliations between GAAP and non-GAAP results are included in today's press release. With that, I will now turn the call over to Semtech's Chief Financial Officer, Emeka Chukwu. Emeka?
Emeka Chukwu: Thank you, Sandy. Good afternoon, everyone. For Q4 fiscal 2016 we reported net sales of $118.6 million, which was at the upper end of our guidance range. These results represented an increase of 2% from the prior quarter and a decrease of 9% from the fourth quarter of fiscal 2015. Demand was high, again, in our enterprise computing and communication end-markets, as demand for our Passive Optical Network and wireless infrastructure solutions increased nicely. Demand for our industrial and high-end consumer end-markets declined in the quarter. Our Korean smartphone business remained very stable during the quarter, reinforcing our belief that the worst is behind us. Net sales for the full fiscal 2016 were $490.2 million, down approximately 12% from fiscal year 2015. The decrease was mainly attributable to the declines from our Korean handset customers and further declines from long-haul optical communications. In Q4, shipments into Asia represented 75% of revenue, North America was 17% and Europe was 8% of total revenue. Sales through distribution represented approximately 54% of revenue and direct sales represented approximately 46% of revenue. Bookings in Q4 increased significantly over the prior quarter, resulting in a book-to-bill well above 1. Sales bookings accounted for approximately 60% of shipments during the quarter. Gross margin on a GAAP basis for Q4 of fiscal 2016 was 58.6%, down 150 basis points sequentially due to a higher mix of lower-margin optical products and lower absorption from our continued inventory reduction efforts. In Q1 of fiscal 2017, we expect GAAP gross margin to increase slightly from improved manufacturing efficiencies and manufacturing cost reductions. Operating expense on a GAAP basis increased approximately 31% sequentially as expected. The increase was mainly driven by the $14 million benefit from the remeasurement of Triune Systems earnout liability in Q3 and higher supplemental compensation in Q4. In Q1 of fiscal 2017, we expect our operating expense on a GAAP basis to decrease approximately 3%, driven by lower supplemental compensation. In fiscal 2016, our GAAP tax rate was approximately 44%, significantly higher than historical rates, due to higher income in high tax jurisdictions and some unfavorable discrete events. In fiscal 2017, we expect our GAAP tax rate to be in the 24% to 30% range. In Q4 of fiscal 2016, on a non-GAAP basis, excluding the impact of equity stock-based compensation, amortization of acquired intangibles, acquisition-related expenses and other restructuring-related expenses, gross margin was 59% or down 120 basis points sequentially due to unfavorable mix and lower absorption. We expect Q1 non-GAAP gross margin to increase slightly, due to improved manufacturing efficiencies and manufacturing cost reductions. Q4 non-GAAP operating expense was $54 million, up 9% sequentially, due mostly to higher supplemental compensation. In Q1, we expect non-GAAP operating expense to decrease approximately 8% sequentially. For modeling purposes, as we highlighted during our last call, we continue to expect our non-GAAP operating expense for fiscal year 2017 to average between $48 million and $50 million a quarter. In fiscal 2016, our non-GAAP tax rate was approximately 20%, up from approximately 14% in fiscal 2015, due to higher income and higher tax jurisdictions. In fiscal 2017, we expect our non-GAAP tax rate to be in the 19% to 23% range. In Q4, cash flow from operations was approximately $35 million or 29% of revenue. In fiscal 2016, our cash flow from operations was $102 million or 21% of revenue. We spent $59 million for acquisitions and strategic investments in start-up companies to gain access to competencies and technologies to drive our future growth, and we also repurchased $57 million of stock. The outstanding stock repurchase authorization is approximately $63 million. The primary use of cash continues to be to pay down our debt, to repurchase our shares and to make some strategic investments. The extra week in Q4 and stronger demand drove better shipment linearity in the quarter. And as a result, accounts receivables decreased 20% sequentially in Q4. Our days sales outstanding decreased by eight days to 38 days, just below the target range of 40 to 45 days. Net inventory in absolute dollars decreased approximately 11% sequentially in Q4 and represented 126 days of inventory, above the target range of 90 to 100 days. In Q1, we expect our inventory to decline on both on absolute dollar amounts and days of inventory. In summary, despite the challenges in fiscal year of 2016, led by the significant decline in our Korean handheld business, we have some highlights that we believe will help us grow our earnings much faster in 2017 and beyond. First, our growth engines grew very nicely in fiscal year 2016. Second, our gross margin remained very stable at high end of our 55% to 60% target range. Third, we reduced our operating expenses by approximately $6 million a quarter. Fourth, we successfully implemented our new ERP system that will enable us to scale effectively. I will now hand the call over to Mohan.
Mohan Maheswaran: Thank you, Emeka. Good afternoon, everyone. I will discuss our Q4 fiscal year 2016 performance by end-market and by product group, discuss our fiscal year 2016 performance, and then provide our outlook for Q1 of fiscal year 2017. In Q4 of fiscal year 2016, we achieved net sales of $118.6 million, which was an increase of 2% from Q3 of fiscal year 2016 and a decrease of approximately 9% from Q4 fiscal year 2015. We experienced higher demand from our communications and enterprise computing end-markets, while demand from our high-end consumer and industrial end-markets declined from the prior quarter. For Q4 fiscal year 2016, we posted non-GAAP gross margin of 59% and non-GAAP diluted earnings per share of $0.17. In Q4 of fiscal year 2016, revenues from the enterprise computing end-market increased from the prior quarter and represented 32% of total revenues. The industrial end-market decreased from the prior quarter and represented 24% of total revenues. The high-end consumer end-market also decreased from the prior quarter and represented 23% of total revenues. Approximately 18% of high-end consumer revenues was attributable to handheld devices and approximately 5% was attributable to other consumer systems. Finally, revenues from the communications end-market increased from the prior quarter and represented 20% of total revenues. I will now discuss the performance of each of our product groups. In Q4 of fiscal year 2016, our Signal Integrity Product Group increased 11% sequentially, and represented 49% of total revenues. Stronger demand for our wireless base station and PON products contributed to higher communications and enterprise computing revenues. The industrial end-market declined, due to lower seasonal demand for our broadcast video products. Our Signal Integrity Product Group was particularly active with new product releases this quarter. Releasing a broad range of CDR platforms and physical media device platforms, targeted at the fast growing PON datacenter and wireless infrastructure segments. During the quarter, our Signal Integrity Product Group announced a strategic investment in MultiPhy, to jointly bring to market a complete chipset solution for 100-gigabit per second, Single Wavelength Optical Module Solutions based on PAM4 technology. This product is a natural extension to Semtech's leadership position in Quad 25 gigabit per second NRZ-based multi-wavelength CDR solutions. The Semtech/MultiPhy solution should help module suppliers reduce the number of components used in 100 gig optical modules and drive significant cost reductions for datacenters, using 100-gig interconnects. We believe that we are uniquely positioned to capture early share in the 100-gigabit per second single-lambda market, starting later this year, and should contribute to continued growth for our Signal Integrity Product Group over the next several years. Semtech's leadership position in the PON datacenter and wireless infrastructure markets is the result of our continued focus and investment in new platforms that deliver the highest performance, highest integration and lowest power consumption in the industry. We believe we have a unique portfolio position with the ability to deliver leading single-channel 10-gigabit per second, single-channel 25-gigabit per second, quad channel 25-gigabit per second, physical media device and CDR platforms today and single-lambda 100-gig PAM4 platforms by the end of this fiscal year. We also released a number of new video platforms targeted at the emerging ultra-high definition broadcast video segment. Our cable equalizer and reclocker platforms provide high bandwidth and long-reach at the industry's lowest power consumption. We are seeing significant interest and design activity from applications that require fast and seamless conversion between multiple high-definition interfaces and next-generation ultra-high definition interfaces. We recently announced a design win with Nevion for use in next-generation media converters, and are watching with a number of other customers that are in various stages of design and development of similar assistance. We expect the pace of the transition from high-def to ultra-high def video broadcasting to pick up this year, as our South Korean customers deploy ultra-high definition video systems for the 2018 Winter Olympics, and our Japanese customers do the same for the 2020 Summer Olympic Games. We believe our Signal Integrity Product Group should directly benefit from both of these events. For Q1 of fiscal year 2017, we expect net sales from our Signal Integrity Product Group to increase nicely, as bookings from the datacenter, wireless infrastructure and PON markets have been very strong. Moving on to our Protection Product Group. In Q4 of fiscal 2016, net sales from our Protection Product Group was approximately flat with the prior quarter, as higher demand from our enterprise computing communications and industrial end-markets was offset by lower demand from our high-end consumer end-market. Handheld demand at our Korean smartphone customers declined slightly, as customers further reduce their inventories. Demand from our China smartphone customers remain solid, posting strong year-over-year growth for both Q4 and fiscal year 2016. Our Protection Product Group remains focused on developing new high-performance protection platforms and address the increasing demand for high-speed interfaces in a broadening array of applications. We recently announced the RClamp 0524PQ, a four-line integrated transient voltage suppression array targeted at protecting high-speed data lines in automotive applications. This AEC-Q100 qualified ultra-low capacitance device is able to reside on high-speed data lines without compromising signal performance in a harsh vehicle environment. Our Protection Product Group also introduced the RClamp 1851ZA targeted at protecting Near Field Communications and RF interfaces in mobile systems. With the increased adoption of our electronic payment systems on mobile devices, the need to protect the interfaces to ensure reliable operation has become even more critical, and we believe our protection platforms are a very good fit for this application. Finally, our Protection Product Group also announced the expansion of our micro platform targeted at small form factor systems, with the release of the ultra-small MicroClamp 3321ZA. This device has been designed specifically for audio and other low voltage interfaces such as micro SIM and micro SD interfaces. As more systems move towards smaller form factors using increasingly advanced lithographies, the inability to build on-chip protection and the increased sensitivity of advanced lithography transistors to ESD events, drive new opportunities for Semtech's advanced protection platforms. Additionally, the growth and diversity and the number of ports requiring protection and the increasing speeds of these ports further increase the number of growth opportunities for our Protection Product Group. In Q1 of fiscal year 2017, we expect our protection business to increase, as we expect modest growth from both our Korean and Chinese smartphone customers, as new signature smartphones are released in the first half of the year. Turning to our Wireless, Sensing and Timing Product Group. In Q4 fiscal 2016, net revenues from our Wireless, Sensing and Timing Product Group decreased 5% sequentially and represented 13% of total revenues. Demand from the high-end consumer end-market was stable with the prior quarter's results, while demand from the industrial and communications end-markets declined from the prior quarter. The global adoption of our LoRa wireless technology continues to exceed our expectations, as more global IoT service providers start to deploy LoRaWAN sensor networks. These LoRaWAN networks are being deployed to support IoT infrastructure for smart city, smart agriculture and smart enterprise initiatives, which can then be expanded to potentially help address emerging climate change issues. Today there are LoRa networks being deployed or in trials in most European countries, in China, in Taiwan, Korea, Japan, Russia, India and North America. And through the LoRa Alliance, we expect the most regions of the world would have some form of LoRaWAN network deployed by the end of calendar year 2017. The LoRa Alliance membership continues to expand and now exceeds over 200 paying members worldwide, with numerous potential new members currently evaluating the technology. Our LoRa technology has recently been on display along with Alliance members at a number of important and highly visible industry events, including Mobile World Congress, the Consumer Electronics Show, DistribuTECH 2016 and Embedded World 2016. A few of our Alliance partners also made LoRa announcements in Q4, including Schneider Electric, a worldwide leader in global specialist energy management and automation, selected LoRa for using building monitoring solutions, electrical load switching devices, grid monitoring systems and predictive maintenance tools. Digimondo of Germany announced plans to launch a LoRaWAN network to enable IoT applications, such as smart metering, pollution measurement and public transportation system tracking. STMicroelectronics announced that it will develop LoRa-based reference designs and platforms using their leadership microcontroller solutions. These platforms will target a variety of LoRa-based IoT application. ARM announced the introduction of its mbed LoRaWAN platform for developers to build IoT applications using LoRa. We also announced the availability of our next-generation LoRaWAN gateway reference design for European gateways. This gateway also enables a number of additional features, including GPS-free geolocalization for IoT devices. This new capability that is in early stages of development, and is being tested with a number of alpha customers, enables an IoT operator to add asset tracking and localization to any mobile sensor without using GPS. The fully-realized localization capability should be available later this year and is expected to dramatically increase the value of LoRa-based networks. We continue to believe that LoRaWAN-based networks will become the technology of choice for all future long-range, low-power IoT sensor networks. In fiscal 2016, our LoRa-related revenue nearly tripled from the prior year to approximately $15 million, and we expect it to approximately double in FY '17. The recent positive activity in conjunction with our LoRa Alliance partners is driving over $300 million in future revenue value in our opportunity pipeline and contributing to our confidence in the overall success of LoRa. We expect our LoRa related revenues to achieve $100 million within the next three years. Our Wireless, Sensing and Timing Product Group also continues to see new opportunities for our proximity sensing platforms across multiple consumer systems, including tablets, smartphones and wearables. As more countries adopt stricter regulations to reduce human body exposure to increasing mobile device radio energy, interest in our proximity sensing solutions will continue to increase. We believe that we have the majority share of systems today that deploy a proximity sensor to control and reduce radio energy. In Q4, we decided to reduce our investments in the timing sync area. We believe that the market opportunity for our timing products today is too small, and so we made the decision to refocus these R&D investments on our wireless and sensing platforms, while we believe the opportunity is much larger and our strategic position is much stronger. We expect that timing sync revenues to remain at approximately $1 million per quarter throughout FY 2017. For Q1 of fiscal year 2017, we expect net sales from our Wireless and Sensing Product Group to increase on the strength of our LoRa wireless business. Turning to our Power and High-Rel Product Group. In Q4 of fiscal 2016, our Power and High-Reliability Product Group declined 16% sequentially and represented 10% of total net sales. Demand from our enterprise computing and communications end-markets increased, while demand from our high-end consumers and industrial end-markets decreased. Our Power and High-Rel business is primarily focused on the automotive, home automation and wearable segments. Customer interest and design wins for our wireless charging solutions remain strong. Our wireless charging portfolio continues to grow nicely and we now offer a broad range of programmable charging solutions that operate at a range of different power levels. During the quarter, we announced the addition of our dual-mode wireless power platform and our medium power 15-watt capable portfolio of wireless charging solutions. This capability allows our customers to wirelessly quick charge mobile devices, such as smartphones, tablets and wearables that have increased battery capacity. The demand for wireless charging capabilities is expected to increase significantly over the next five years, as larger, feature-rich and power-hungry mobile systems will need to be charged several times per day in different locations at different times without the need for cables. We believe we are well-positioned to grow in this attractive market for that portfolio of programmable wireless charging platforms. We are also seeing interest in our recently announced Isolated Power Switch Platform from home automation customers. This platform has been optimized for low voltage switch applications, such as smart thermostats, security systems, intelligent sensor control and other home automation systems Our solution allows customers to replace designs using older mechanic relays with smart and solid state technologies. The addition of the wireless charging and isolated switch platforms have complemented nicely our existing portfolio of power management platforms, which includes load switches, switching regulators, LED drivers, controllers, references and high-reliability platforms. In Q1 of fiscal year 2017, we expect our Power and High-Reliability Product Group to increase following the seasonal decline in Q4. In Q4, the total company distribution POS increased 17% from the prior quarter, achieving another quarterly record. Distributor inventory decreased by 22 days from 79 days in Q3 to 57 days in Q4, and is well below our 70 to 80 day channel inventory model. Our distributor business remains very well balanced, with 54% of the total POS coming from consumer and enterprise computing end-markets and 46% of total POS coming from industrial and communications end-markets. Moving on to new products and design wins. In Q4 of fiscal year 2016 we released 24 new products. We also achieved 2,085 new design wins. Both of these were an increase over the prior quarter levels. Now, let me briefly comment on our fiscal year 2016 performance. In fiscal year 2016, net sales decreased 12% from fiscal year 2015, driven primarily by the deterioration in our Korean smartphone business, as our Korean customers lost market share. We responded to the lower revenues by reducing our operating expenses to protect our earnings during this challenging time for the company. Despite these challenges, we had some significant achievements in FY '16, including stable non-GAAP gross margins above 60%, 8,362 design wins, 88 new product releases, we generated $102 million in cash from operations or 21% of revenues, and continued the diversification of our portfolio with the integration of Triune and EnVerv, while also divesting our downsizing non-strategic assets, such as our microwave business and timing sync business. We also initiated the lower alliance and facilitated the global acceleration of LoRa networks. Finally, we implemented our global ERP system, after several years of development as well as other IT infrastructure systems to ensure we can scale effectively in the future. We believe that we are well-positioned to drive revenue growth with a diversified product portfolio, balanced end-markets and balanced geographical exposure, and believe we will return to outperforming the industry in FY '17 Now, let me discuss our outlook for the first quarter of 2017. Based on the strength of recent bookings and our backlog entering the quarter, we are currently estimating Q1 net sales to be between $124 million and $132 million. To attain the midpoint of our guidance range or approximately $128 million, we needed net terms orders of approximately 47% at the beginning of Q1. We expect our Q1 GAAP earnings to be between $0.09 and $0.13 per diluted share and our Q1 non-GAAP earnings to be between $0.26 and $0.30 per dilutes share. I will now hand the call back to the operator, and Sandy, Emeka and I will be happy to answer any questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Craig Ellis from B. Riley & Co.
Craig Ellis: Mohan, I want to start with a near-term question on one of the segments. Looks like Gennum is seeing very strong dynamics in its business. Can you talk a little bit about where you think we are with respect to the communications cycle? Is what you're seeing seasonal or is it really something that looks more secular to you than that?
Mohan Maheswaran: So the communications, it's really the base station for us, the wireless base stations. As you know, Craig, last year it was a little bit of a softer year. There were some things going on in China that constraint demand I think. And so there is kind of pent-up demand that I think is going to be visible this calendar year. So I expect that to continue to be quite strong on the enterprise computing side, where we have PON and datacenter. I expect both of those also to be quite strong. And certainly in the first half of the year, we'll see how the second half plays out. But at least in the first half I think it's going to continue to be very strong.
Craig Ellis: And then the follow-up is on a segment basis, it's on power management. Within that you've got the wireless charging business. Is that going to be for Semtech classic analog business, where it's slow steady growth? And if so, when do we get to a level of revenue materiality or could it have attributes that look a little bit more like what LoRa is shaping up to be, where you've got more dramatic growth and driven more by secular dynamics?
Mohan Maheswaran: I think it's difficult to say. Craig, I think there is two aspects to our business. One is more infrastructure. So getting the charging transmitters into automotive vehicles, into furniture, into industrial equipment, which is probably more likely to be the longer time to revenue aspect. But then we also have some penetration of some wearable devices and some other, I'll call, faster time to revenue segments that I think could drive good growth certainly in the second half of this year. The one thing about wireless charging is it's a new space. The adoption is clearly there. But it's when that acceleration occurs is difficult to call. But it's going to happen.
Craig Ellis: And then lastly and following-up on a press release comment, where I believe you indicated you expect to return to outgrowing the industry this year. Certainly, lots of precedent for that earlier this decade. But as you look at the specific drivers to that, Mohan, what are the things that are going to drive the excess growth in the model for Semtech in fiscal '17?
Mohan Maheswaran: Well, so we'll start with our signal integrity products, we do think that all the areas in that business, specifically the base station we talked about, the PON products and the data center products are all fast-growing markets that are probably growing faster than the industry at the moment. And then we expect a little bit of a rebound in our video business, which had a poor year last year. That was mostly a timing thing. I think as I mentioned, there's a lot of kind of events coming up in the world that will drive more video. So signal integrity products, I expect to have a good year. Our wireless and sensing business, both the wireless component and the sensing component, the wireless driven by -- LoRa is doing very, very well and we expect that, as I mentioned, to double this year at least and our sensing business also to do quite well this year. And then we talked about protection for last year, the deterioration in the Protection Product Group because of a Korean smartphone issues. But I think our businesses are stabilized and now it's really a question of are the Korean smartphones going to come back. And that could [technical difficulty] I think we have enough going on in the broader protection business and that could see modest growth from last year. And then our power and high-rel business also, because of the wireless charging should do quite well.
Operator: Your next comes from the line of Ian Ing from MKM Partners.
Ian Ing: Just to clarification, lot of strength in certain end-markets like coms and enterprise computing, but industrial looks like it went to 24% of sales from 27%. So is that broad macro issues or is that perhaps lumpiness in LoRa?
Mohan Maheswaran: A little bit of both, Ian. I think Q4 industrial for us had a couple of infrastructural aspects to it that I think were not as a strong, it's more seasonal, I think, and then some macro in there. We are seeing some of the industrial coming back in Q1 though. So I would say it was a single quarter event.
Ian Ing: And then could you talk more about this next-generation gateway reference design in LoRa? Looks like maybe some of the new features, tracking without GPS, and what sort of applications would you go after first like smart cities or utilities?
Mohan Maheswaran: So the beauty about LoRa is once you have the network and you have this type of capability, essentially you can turn any mobile mode into a trackable mode, so an asset that can be tracked. So a bicycle for tracking and localizing where it is and things like that without GPS. So I mentioned it's probably likely to be go towards the end of the year, before we have the full capability. But the reference design that we've released in Europe is capable of doing that now. So it's a unique feature for us.
Ian Ing: And lastly, could you talk about expectations for China OEMs this year for the protection business? I know you've got surge protection there, lower ASPs, but higher margins than ESD. Can that China business perhaps crossover the ESD business?
Mohan Maheswaran: We expect it to continue to grow. We are anticipating a little bit of a recovery in our Korean smartphone business also. But I think the China smartphones are going to continue to do well. They do protect most of their interfaces. And so that's the anticipation that at some point it will crossover.
Operator: Your next question comes from the line of Harsh Kumar from Stephens.
Harsh Kumar: I had a quick question. I don't have the benefit of being in front of a computer, but I know you guided OpEx down quite substantially. I'm trying to understand the longer-term goal here with respect to operating margins. What is it that you hope to get to by maybe the end of the year or next 18 or 24 months with this OpEx reduction?
Emeka Chukwu: So Harsh, if you recall in our last call, we did say that we expected our Q4 OpEx to be higher, because of higher than usual supplemental compensation that we were planning to do for retention on top of this. And so the decline in this quarter is just that the policies are going to come back to a more normalized level. But as we go forward in the year, we are staying with the guidance that was given a few quarters ago with the expectation that by the end of the year the operating expenses should have ranged between $48 million to $50 million a quarter.
Harsh Kumar: Is there a goal that Semtech has in terms of operating margin that as a company you guys want to get to?
Emeka Chukwu: Yes, definitely. Operating margins, I think, has been the goal that we've had for several years that we've obtained before, but we have kind of gotten away from that expectation. Everything we are doing internally is to try to get back to 25% to 30% operating margin on a non-GAAP basis. We think probably we'll start to get into that range in the $150 million, $160 million a quarter kind of run rate, something like that. And I think we get that definitely as we start to see the rebound in the topline growth with all the growth drivers that we're talking about, with the fact that our gross margin is really staying very stable. I think as we get a topline growth, we should see an acceleration of earnings leverage.
Harsh Kumar: And a question for Mohan. Mohan, somebody, earlier, I think Craig Ellis asked a question about the optical cycle in effect. I think 100-gig is just getting started. You guys announced something associated with the data center. Curious where you think we are in this innings for this optical 100-gig cycle? Are we very early? Are we at the midpoint? Are we towards the end? Just curious as a player where you think we are? And then secondly, if you could clarify what exactly the MultiPhy investment is and how it's structured and what it gets you in terms of an end product?
Mohan Maheswaran: Yes. So let me start with the market. The 100-gig, it's still early. There are different elements to it. One is the 100-gig modules that are using quad 25-gig lanes and then single 100-gig. The MultiPhy announcement is all about the single 100-gig channel. So I'll come back to that, but the quad 25-gig is starting to take off. I think it's relatively small compared to the 10-gig and 25-gig, but it is obviously because of the smaller size. It's starting to grow and so it has a faster growth rate. I think it will be probably another two years before it's kind of at the same level though. So still ways to go. With regards to the 100-gig single lambda, which is why we announced the investment in MultiPhy. We announced essentially that we are going to enter the PAM4 space, single lambda 100-gig space. We don't have the DSP technology, so we made investment in MultiPhy. We're partnering with them. And essentially that's the game plan. So we have a portfolio of products all the way from 10-gig, 25-gig, single-channel CDRs and PMD devices and then we go up to the quad 25-gig and then we'll have a single lambda approach. And obviously, they are a startup company, but we've structured the deal, so that we have the right of first refusal if things go well.
Harsh Kumar: And Mohan just wanted to clarify one thing. So you will take that products and put it into your module or will you sell them products and they will put it into their module? Whose product will be the final product?
Mohan Maheswaran: So they are a chip company and an IT company, so essentially what we will do is we will provide these components to our customers. Our customers are building the modules, so we won't build modules. So we will take our physical media devices in a combined development program with MultiPhy to develop a single-chip DSP PAM4 component to those same module customers, that's the way it will work.
Operator: The next question comes from the line of Rick Schafer from Oppenheimer.
Corey Grady: Corey Grady on for Rick. I have a question about your Korean smart phone OEM. Do you expect that customer to increase as a percent of sales this year? And how do you see the growth rate for them relative to the rest of the business?
Sandy Harrison: So the Korean smartphone guys, mainly our largest one, Samsung, most recent quarter was about 6%. As Mohan talked about, we think that that could start to see some recovery or at least no longer see the declines we saw this year. But as our revenues grow, it will probably either be flattish or a smaller percentage of overall revenue.
Corey Grady: And then in terms of M&A, I guess how big would you be willing to go and where would you be willing to look in terms of end markets or products or IP?
Mohan Maheswaran: Well, we are always looking for strategic assets that can help us accelerate our position in the markets we're in. I don't think we need to do much now to get to $1 billion. I think we're in pretty good shape with the market. SAM we've expanded in each of our product groups now. But if there's something that we feel could help us get there faster or is a really good added component to the diversified analog portfolio we have then we would look at it. And historically, we've done small and big.
Operator: Your next question comes from the line of Steve Smigie from Raymond James.
Steve Smigie: Just a real quick question on the, going back to some stuff Harsh was asking about. As we look at your CDR, TIA portfolio relationship with MultiPhy, can you talk about -- do you think the greatest growth from that business, this year, will still be like 10 or 40 G? And as we get halfway through the year is when you will really start to see the 100 G stuff take off? And that's just on more talking about the CDR, TIA versus MultiPhy with that question?
Mohan Maheswaran: Yes. So I think, Steve, if we look at 100 gig today, it's going to be quad 25 gig. So we look at it from the perspective of 10 and 25 gig channels. By far, the thing that's done very well for us is the PON business, which is a 10 gig and continues to do very well. And then on the base station side, most of that is 10 gig also, maybe going to 25 gig. The data center is where we probably expect the faster, higher bandwidth need and that's probably where the larger, the faster growing aspect of the 100 gig business will be. But that again will be quad 25 gig and then single-lambda of maybe by the end of the year.
Steve Smigie: And just can you talk about the single lambda opportunity in terms of how close are you going to be to the laser there or the laser device? Are you going to try to add that capability to laser or would you just stay electronic side of that? And how do you see single lambda versus multiple light waves?
Mohan Maheswaran: So we won't do laser. So we'll stay away from that. We think that's where our customers add value, our module customers, and so we will help them with that, but we won't do that ourselves. And I think the only advantage really of the single-lambda is really cost, I mean that's the way, what happens as you drive the module cost down significantly and that enables manpower and that enables more density. And just a whole datacenters to kind of change the way we do things. But it's all about connectivity and high bandwidth connectivity. So I think there is a transition though and I think there is still a lot of barriers, I mean, optical barriers to overcome and things like that, but it's going to happen, it's just a question of time.
Steve Smigie: And I just in general, it seems like your book-to-bill sounds really good. Your inventory dropped a lot. What changed there? Is that that you guys specifically just you've been working on a bunch of stuff for a while. It seems like you've got a whole bunch of great products coming out right now. Is it just a whole bunch of uptick of that or is it also some broader macro improvement?
Mohan Maheswaran: Well, I think it's a bit of both. I mean, we had a whole a lot of downtick, if we recall out. So it's time for us to have some uptick. But I think, yes, few things happening in the same time, but I do think the overall strength and demand is better than most have been anticipating.
Operator: Your next question comes from the line of Mitch Steves from RBC Capital Markets.
Mitch Steves: I just had a quick question regarding your comment in the Q1 guide. You said you had basically 47% booked essentially. I just had a tough time understanding if that's from the computing side and the com side or if that's related to the Samsung [indiscernible] out there?
Mohan Maheswaran: Usually, Mitch, what happens is in our business, the higher tons requirement is from the more consumer oriented businesses. So specifically protection, for example, typically has to turn more in the quarter than our communications or computing products, lead times, supply lead times are typically longer with some of those products. And so we now have the ability to book and ship in the same quarter. So we need the visibility earlier. So really the answer to your question is most of the turns we need are a combination of our Signal Integrity Product and our protection business, but most of it will be driven by protection.
Mitch Steves: And then secondly for the January quarter, you noted that essentially mix impacted gross margins a bit. Is that more because the industrial side has higher margins or is that just that the computing piece have lower margins at a relative basis?
Mohan Maheswaran: I would say, both of those elements, Mitch. So yes, lower industrial contributing to the lower gross margin. And then just a mix within the computing and enterprise computing and communications was a little bit weaker for us.
Mitch Steves: And then just one last one to clarify. So you guys are guiding to essentially $48 million to $50 million as a OpEx run rate. So is that essentially for the April quarter, is it going to be right smack in the middle of the lane or are we going to see an increase throughout the year?
Emeka Chukwu: Like I said before, I think what we expect to see is that by the end of the year that the OpEx would have been somewhere between $48 million and $50 million. I think what would drive it to the higher end of that range will probably be that we'd continue to see the growth that we're seeing on the topline, which hopefully drops to the bottomline. So some of the expenses that you would expect to vary with higher revenues, may be things that were driving OpEx to the higher end of the $48 million to $50 million range.
Mitch Steves: And then so for April quarter that kind of implies, you're going to be slightly above or in the low 50s roughly?
Emeka Chukwu: No, I think for the April quarter, I feel when you have a chance to walk through the guidance, you will see that it's coming in around $50 million at the midpoint. And the key reason for that is typically at the start of the year, you do have some expenses that come on line like a higher work hours in the quarter, higher payroll taxes and all that stuff. But as we go through the rest of the year, we would expect to see the operating expenses coming down to a level as to average between $48 million to $50 million for year.
Operator: Your next question comes from the line of Cody Acree from Drexel Hamilton.
Cody Acree: Emeka, could you maybe walkthrough some of the margin drivers through the year. You've got a lot of moving parts with a lot of growth from smaller products and maybe as you see those kick-in, how does that impact gross margins?
Emeka Chukwu: So Cody, as you know, most of our gross margin, the key driver there is really the mix of the products that we're shipping and the mix of the end-markets that we're shipping into. So right now, the two key things that are driving the gross margins into 59% to 60% range is our higher mix of some lower margin products within enterprise computing. But also in addition, so you can see from the financials, we've been bringing down our inventory. And so we are not able to fully absorb the manufacturing infrastructure that we have. So my expectation would be that as we go through the rest of the year where we get to where we start to review our inventory, especially if our demand continues to be as strong as we're seeing it right now, then I'll probably expect some benefit from higher absorptions to gross margin, maybe something in the range of about 50 basis points.
Cody Acree: And Mohan, maybe you went earlier through some of the growth drivers, some of the myriad of products in end markets that are ramping. Could you rank order some of the more near-term opportunities and how those play out through 2017?
Mohan Maheswaran: Yes. From a revenue standpoint, I would say the enterprise computing, the data center stuff, the elements that were part of the reason for the strong guide in Q1; data centers related to cloud computing and the wireless backhaul, base station, I think are definitely doing well; and the PON business for us, as more fiber gets deployed to the home around the world. I think those are three areas in the enterprise computing and communications spaces. And then in the consumer wearables and smartphones this year is a little bit of a question mark, but I think it could be for us still a good growth year given that last year was still a such a down year for us in that area. And then on the industrial, we are seeing a number of different areas, obviously tied to LoRa. The Internet of Things has many different aspects to it, including M2M and some of the smart grid applications and things like that. But that's starting to pick up quite nicely for us. And then broadcast video, we think we'll start to pick up this year. We had a bad year last year. And there's no reason why we shouldn't do better this year. So I could go on, there's a whole bunch of other areas, but I think those are the ones that I expect to see to have a revenue impact this year.
Cody Acree: And then lastly on the PON side. A lot of this seems to be tied, and correct me if I'm wrong, seems to be tied to deployments in China and maybe the government's mandates of consumer connectivity. How long do you expect that to be a driver? Does that play out in '16? And I guess, what are your expectations for the length of that being a contributor?
Mohan Maheswaran: It is mostly China and it is also other parts of Asia and also North America. And I do expect that it will continue to grow this year and next year. I mean a lot depends on what happens kind of in general, because the moment its 10-gig PON, there are talk and discussion about higher bandwidth PON, both for enterprise and for consumer. So it may surprise us and go on for quite a few years, at least for the next two years for sure.
Operator: Your next question comes from the line of Craig Ellis from B. Riley & Co.
Craig Ellis: And it's a follow-up on the protection business, Mohan. I think you mentioned that e-payments would be a further catalyst for protection there. The question is does that help sustain the level of content that you have now or when you're seeing protection be implemented along with e-payments, is that adding content for you, and if so, how much?
Mohan Maheswaran: It really varies from phone-to-phone, Craig, and application-to-application, if it's a high-end smartphone or if it's a mid-range smartphone. But I would say the answer of the question is, yes, it does add more content. It's probably in the order of just $0.05 or something like that, because we have protection that's across the whole device. So we will have a number of devices in each of -- a number of protection devices in each of the system. So I would say, it's per application, I think it's quite small. It's about $0.05 I would say.
Craig Ellis: But it is incremental. And then the follow-up question is for Emeka. Emeka, there has been a number of very constructive changes in the business. You've got the emergence of at least three powerful growth drivers. Your customer concentration is significantly diminished. And you've got some businesses that are high margin that are growing. The question is, relative to the last few years, how would you advise investors to look at the seasonality of the business now, given its construct and as it evolves, beyond the current fiscal first quarter? How do you look at seasonality for the business 2Q through 4Q?
Emeka Chukwu: So Craig, I mean, this is something that we also are looking at because the business, as you mentioned, the profile of the business is broadly changed somewhat in the last year or two. But based on what we've seen, given the content of our revenues right now, and a lot of this coming from your data center, your wireless back hauler stuff. What we have seen, the seasonality, it looks like we are much stronger now in the first half in terms of percentage growth than we are in the second half. But we'll have to see how that plays out. I know, I think one of the things that we still have to see how it develops is, we do have a whole lot of new embryonic growth drivers that could somewhat impact the seasonality, the normal seasonality, but I think the way I look at it right now is that first half is going to be really strong for us and the second half maybe flattish or slightly up.
Operator: Your next question comes from the line of Harsh Kumar from Stephens.
Harsh Kumar: Mohan, question on the base station business. I think you mentioned, I think your exact words is, maybe there's some pent-up demand. I'm curious, if you see strength beyond the pent-up demand. In other words, do you see a normal cycle or do you think this is just like a pickup from what happened last year and then it sort of tapers off?
Mohan Maheswaran: Well, I think the pent-up demand is more a comment on the fact that last year the shipments were not in line with demand, because of everybody was holding back, I mean China specifically was holding back on deploying. But I think that now is gone and we're starting to see the acceleration of that. But I would say that even last year, we were expecting it to grow and then we were expecting it to grow this year. So I don't think it's going to taper off. My sense is, is that is going to be quite strong. It's definitely going to be strong in the first half. We'll have to wait and see. Emeka just talked about the seasonality, about how the second half is going to look like. But I expect it to be a strong year for wireless base station.
Operator: There are no further questions at this time. End of Q&A
Mohan Maheswaran: In closing, fiscal year 2016 had it challenges and we face that second sequential annual decline. However, this did not impact our strategic focus or continued investments in core analog mix signal platforms in fast growing market segments. We managed our operations prudently with strict OpEx control and maintained our non-GAAP gross margin at the high end of our 55% to 60% target range, and added key infrastructure components to enable us to scale effectively. I am confident that Semtech is strategically better positioned than at anytime in the history of the company. With that, we appreciate your continued support of Semtech and look forward to updating you all next quarter. Thank you.
Operator: This concludes today's conference. You may now disconnect.